Operator: Good afternoon and welcome to the MoSys Third Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of today's conference call, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded today, Wednesday, November 4, 2015. I would now like to turn the call over to Beverly Twing of Shelton Group Investor Relations. Ma’am, please go ahead.
Beverly Twing: Thank you, Amanda. Good morning –- good afternoon, everybody. Joining me on today's call are Len Perham, MoSys' President and Chief Executive Officer; and Jim Sullivan, Chief Financial Officer. Before we begin today's discussion, I would like to remind everyone this conference call will contain forward-looking statements based on certain assumptions and expectations of future events that are subject to risks and uncertainties. Such statements are made in reliance upon the Safe Harbor provisions of Section 27A of the Securities Act 1933 and Section 21E of the Securities Exchange Act of 1934, which include, but are not limited to, benefits and performance expected from use of the company's ICs and embedded memory and interface technologies, expectations concerning the company's execution and results, product development, achievement of IC design wins, timing of shipments of the company's IC, predictions concerning the growth of the company's business and future markets, and business prospects, strategies, objectives, expectations, or beliefs. Forward-looking statements made during this call are subject to the risks and uncertainties that could cause actual results to differ materially from those projected. Additional information concerning factors that could cause actual results to differ materially from any forward-looking statements made during this call are contained in the company's most recent report on Form 10-K filed with the Securities and Exchange Commission, in particular in the section titled 'Risk Factors', and in other reports that the company files from time to time with the Securities and Exchange Commission. MoSys undertakes no obligation to publicly update any forward-looking statement for any reason except as required by law, even as new information becomes available or other events occur in the future. Thank you for your attention. I will now turn the call over to Len Perham, CEO of MoSys. Please go ahead, Len.
Len Perham: Thank you, Bev. Good afternoon, everyone and thank you for joining us. On today’s call I intend to review our progress winning new designs in the third quarter and year-to-date, the status of our customer’s journey toward into a production status, and the progress our new product development is making both for Bandwidth Engine and LineSpeed product families. Following my remarks, Jim will discuss our financial results and then we’ll open the call to questions from you folks. The third quarter was extremely gratifying in terms of design wins, as it represented our highest design-win quarter to date. With three quarters behind us, we now expect to substantially beat our goal of doubling design wins year-over-year. On the revenue front we're also seeing customer orders and back log increasing as our earliest design wins are starting to ramp into production. From an operational point of view it’s very satisfying. On the technical front in quarter three, we taped out BE3 and will receive packaged silicon next week, as we continue to make progress towards our goal of sampling this new product family in early quarter one of 2016. We also introduced our newest products in the LineSpeed family, sample and to sell to customers and secured a few new design wins. Taking a look at this quarter’s record setting number of design wins reveals that we have now won more than 40 new design wins so far this year and have as yet one quarter left to complete. These new wins are primarily driven by our Bandwidth Engine products, in particular Bandwidth Engine 2. Bandwidth Engine 2 wins this quarter included six new line cards designed with our Tier-1 customer where our architectural footprint is expanding significantly. We also secured wins with two new customers as well as several re-use wins with an existing customer for Bandwidth Engine 1 products. To date I’m pleased to report that we have an excess of 60 cumulative design wins for BE1 and BE2 and I’m very gratified to note there's a strong activity in the sales funnel for BE2 again this quarter. Soon BE3 will be released. There's increasingly strong case to made that the Bandwidth Engine families will enjoy a long and successful design win cycle. This is because they solved serious challenges in our customer’s next-generation networking equipment. We also recorded multiple LineSpeed wins in the third quarter with new customers for optical module applications, including wins for our 100-gig MSH110 lower power retimer and recently announced LineSpeed Flex products, which I will discuss in a bit more detail later. Our notable progress on design wins this quarter substantially expanded our customer base, increasing number of applications BE2 serves in the system, and expanded our market penetration. Best of all it is beginning to be apparent that BE2 has an important role to solve – to serve in solving next-generation system-level challenges for our ever expanding customer base. Furthermore I’m very pleased to say we have entered the fourth quarter of calendar year 2015 with a robust sales funnel. That is we have several more potential wins close to being finalized and several longer-term opportunities being worked. All of which reflects the opportunity ahead yet another strong design-win quarter for both Bandwidth Engine and the LineSpeed product families. In summary, in addition to our strong third quarter we are very gratified to see that we have a good shot at making the fourth quarter calendar year 2015 another double-digit design win period. As mentioned earlier, this would result in design wins in 2015 being considerably greater than 2x, the wins in 2014. Our design win successes this year are led primarily or predominantly by BE2, are the results of several market factors which we expect to continue to play out in our favor. Among those the need for high performance and low latency, very high access rate network memory bandwidth is continuing to be ever more important in next-generation network and equipment, and serial memory at a high rate series is gaining broad acceptance. The switchover costs associated when moving from digital high parallel IO structures to higher speed serial IO structures are being overwhelmed by the need to achieve the much higher performance requirements that have to be met by tomorrow’s state-of-the-art networking gear. Additionally the requirements for more intelligence in the data center and the need for more robust statistics, load balancing, and acceleration capabilities in certain applications is rapidly growing. Specifically in the third quarter we recorded BE2 wins on line cards that support software-defined networking as well as other new design wins on line cards that is concerned with transporting high-definition video. In addition it appears that the time from customer deduction through evaluation and the resulting design win appears to be shortening. This is likely due to a mix of the following; the customer concluding the only solution to his design challenge is a serial IO or better yet a very sophisticated serial IO networking memory, the customer’s already using serial memory, therefore switchover costs are much less of a constraint, there are very few other feasible options available if one needs to meet pin count, board space and/or performance requirements, or the continued improvement of our ecosystem and the support we can provide to customers and potential customers is greater period to period. The success of our partners the FPGA suppliers, bringing their products out and working them close to our Bandwidth Engine and the success the two of us are having in the packet processing engine suite is feeding on itself. Our partners are also supporting, there's great enthusiasm from both sides. Bandwidth Engine networking memories and our LineSpeed not only address pin count, power usage and board space but also provide higher speed, a broad range of cutting edge differentiated features and are supported by solid carrier-grade reliability data. As a result we've been able to increasingly differentiate our products in the market, support an ever increasing range of applications and as a result initiate new discussions with customers for additional future projects on an ongoing basis that continue to yield a seemingly steady stream of potential new design wins. The most notable trend that we have seen is more that – excuse me, the most notable trend that we have seen is that once a customer is familiar with BE and it’s feature set, range of performance levels and the varied applications that it serves, the customer effectively copies and pastes the MoS BE solution onto other boards, often without even getting us involved or just telling us about it after the fact. This trend has been very prevalent off late and it’s very gratifying to the entire MoSys team. Let me discuss the progress we’re making on expanding each of these product families. I’ll start with Bandwidth Engine. Bandwidth Engine continues to account for the majority of our design win activity and remains a significant portion of our sales funnel. Adoption of one or another of the unique options available on our BE2 family continue to increase, most recently evidenced by additional wins with a new Tier-2 networking equipment provider using our MSR820 device, which in this case provided the customer with programmable macro functions. In short to the layman this means that every time the packet-processing engine has to cross the boundary over into the networking memory you can accomplish more than one instruction, so that you’re getting more done without –- with each access so that lesser number of accesses can do an ever increasing amount of work. Very, very important when you consider the performance level of networking equipment today and in future generations. We now have more than 15 customers using Bandwidth Engine products, many of them have awarded this multiple wins and substantially all of them have pending orders on our backlog. Both the unit quantities and the dollar values of those unit quantities reflects on our backlog have been increasing period-to-period throughout 2015. This coupled with the fact we're shipping to four of the top-tier board subcontractors around the world, all used by our customers, especially our top-of-the-line customers, would indicate our design wins from 2012 and 2013 are starting to ramp into production. Even though we cannot predict how steep these ramps might be or what the total value of each design win is, to MoSys it is gratifying to see this happen. It is also appropriate to recall that the 2012 designs were won in Japan while the early 2013 wins were from a U.S. based Tier-1 player. While this is happening we continue to strongly support the second half 2013 and 2014 design wins with good application support and a steady stream of small quantity orders all necessary in order for these next design wins to complete the journey to a full production release. A few Bandwidth Engine 1 design wins came in from our Asia customer bases quoted to as you will here recall the several copy and paste reuse wins for BE1 in that market there and in this last quarter and additionally won a BE1 -– a new BE1 order too in that region as well. We have a good inventory of BE1 products from which we will support these projects as they get released back into production. In terms of future product development we achieved a key milestone in our BE roadmap with a take out of BE3 earlier in this quarter. We issued packaged silicon back in-house within a week or two, and once back we can dive into testing, characterizing and verifying that all of the logical and functional capabilities encompassed by BE3 are alive and working precisely to product specification. It’s good to remember that BE3 is twice the memory size, i.e. twice the capacity from a 0.5 gigabit to a full gigabit of memory and it runs up to 25 gigabits on the IO, whereas BE2 only runs up to 15. So BE3 is not likely to steal away much BE2 business. It will be creating its own opportunity and allowing us to continue a long ramp of increasing design wins as we look out to the future. It would seem to me that by year end we will be running BE3 in referenced boards populated with FPGAs from both Xilinx and Altera. And additionally it is not out of the question that we will be running BE3 against the NPS-400 network processor before year end too. However, this might be a bit early for that characterization work to begin, to be safe though I think it is likely that we will not share BE3 reference boards and samples until into the first quarter of the calendar year 2016. As you can see throughout the development cycle we have continued to stay aligned with the roadmaps of our key FPGA partners Xilinx and Altera and as well with EZchip, as they work to complete the design and development of their world class NPS-400 network processor. As a result we already have strong customer interest in place waiting to see to see if one or another versions of the new BE3 family can solve some of their next-generation network system challenges. We will be spending significant time in the fourth quarter keeping customers apprised of the ongoing characterization and the subsequent availability of BE3 either as a standalone unit or in a reference board. Recently we have had many enquiries regarding the pending acquisition of EZchip. There is no news -– there is no new news from us. We do not expect any change in the status of our relationship with EZchip. The message we have received is simple, business as usual, continue to strive together to achieve the shared goals and objectives of our two companies. To date we've announced the first three IC derivatives or devices – excuse me, to date we've announced the first three IC devices in the BE3 family. A Burst of IC MSR630 for lookup and buffering applications, a macro function device the MSR830 which offers significant intelligent offload for functions such as statistics and metering, and finally the MSRZ30 device which builds upon the capabilities and performance of the BE3 macro with data rates, interface and data structures optimized to accelerate the performance in EZchip’s NPS-400 network processor. The BE3 MSRZ30 is targeted for use in intelligent white box solutions for carrier and data center applications where traffic management and flow awareness are important. In addition to advancing our first three BE3 ICs we're also moving forward with other versions of BE3 and we anticipate announcing these highly differentiated, very sophisticated networking memory solutions in mid to second half 2016. Turning to LineSpeed, with regard to our first generation LineSpeed gearbox products, we continued to see additional market opportunities and to win new designs. Current shipments primarily support multiple prototype builds for new platforms with our design win partners. Our LineSpeed products remain highly synergistic with Bandwidth Engine. Every 100-gig line card needs retimers and gearbox functionality and every line speed card customer is a prospect for a BE1 device. Most notably for LineSpeed, we made significant progress during quarter three, enabling us to introduce five LineSpeed products in our new LineSpeed Flex family of 100G PHY’s for High-Density Ethernet and OTN Networking Line Card Applications and modules. These new gearbox and retimer products leverage 100-gig RS-FEC for error correction and MLG, Multi-Link gearboxing technology, which will ensure our customer’s new devices remained compliant to the latest 100-gig and emerging 25-gig industry standards. Specifically we announced the first devices in our LineSpeed Flex family, which is currently comprised of two new retimers and three new gearbox devices. The octal retimer, MSH221 with integrated RS-FEC and a 10 lane full duplex retimer was with that as well, three new gearbox devices. 100-gig multi-link gearbox for modules, a 100-gig multi-link gearbox for line cards, and a general purpose 100-gig gearbox MSH320 with forward error correction. In quarter three we secured multiple new LineSpeed design wins including our first LineSpeed Flex design, and we have many more LineSpeed design win discussions in the pipeline. We also secured additional wins for our 100-gig MSH110 low power retimer with QSFP module providers and our original 100-gig multi-mode gearbox MSH310 with a new customer for use in an optical splitter. While we have multiple design end customers it’s important to note that unlike the BE products where we are architecturally locked in upon design, it is possible for us to sample our LineSpeed products, think we were designed in and at a later date lose the design because some of these products are multi-sourced. Most customers think hard before purchasing and committing effort, so this is typically not the norm. But unlike the Bandwidth Engine our LineSpeed products are not sole-sourced. Based on the engagements and interests from the customers we remain encouraged and optimistic regarding the future success of our LineSpeed product family. Closing, in summary, I’m pleased with the significant progress we've made increasingly on the design wins year-to-date. All achieved while maintaining a very robust sales funnel that should enable MoSys to more than double our design wins year-over-year. We've recorded an excess of 40 new design wins already in 2015 and now have over 70 design wins for IC products, from which we expect to generate meaningful future revenues. As you may recall we defined design win as the point at which a customer has made a commitment to build the board against the fixed schematic for his system and this board utilizes our IC products. This steady growth in design win reflects broadening acceptance of our products. These design wins represent a potential for significant future revenues. With limited history to date, we cannot estimate how much revenue each design will win nor can we predict how much revenue all of these and future design wins are likely to generate. But we are confident that significant additional revenue is forthcoming. Our backlog is increasing, production orders are beginning to achieve some traction and shipments should be expected to increase in the coming quarters. Though we are unable to forecast or stall for the customers’ ramps to full production or the level of success of their systems in the market, this situation should result in MoSys achieving meaningful period-to-period increases going -– in revenue of going forward. Additionally we've expanded our customer base and further diversified our product catalog with new devices in both product families, while continuing to manage the development of several more Bandwidth Engine and LineSpeed products. It appears that the continuing industry consolidation is going to provide new opportunities for us as customers have fewer competitive alternatives. Overall I believe we've made critical progress. Operationally we've done very, very well, especially this quarter. This will further expand our integrated circuit business and increase our footprint in the network and communications markets as well as broaden our served, available market. That said I’ll turn the call over to Jim for a review of our third quarter financials. Following his remarks we’ll close this call with a few -– we’ll answer your questions as well as we can, as best we can, and then we may have a few final remarks in closing. Thank you very, very much. Jim.
James Sullivan: Thank you, Len, and good afternoon everyone. During the course of my comments, I will make several references to non-GAAP numbers. Unless otherwise indicated, each reference will be to an amount that excludes stock-based compensation expense and intangible asset amortization. These non-GAAP financial measures and reconciliation of the differences between them and comparable GAAP measures are presented in our press release and related current report on Form 8-K, which was filed with the Securities and Exchange Commission today and can be found at the Investor Relations section of our website. Now let's review our third-quarter financial results. Total revenue was $1 million, comparable with the previous quarter and compared with $1.1 million in the third quarter of 2014. Product revenue from the sale of our integrated circuits was $0.6 million in the third quarter of 2015 compared with $0.5 million in the previous quarter and $0.4 million in the year-ago period. Royalty and other revenue for the third quarter of 2015 was $0.5 million, consistent with the previous quarter and compared with $0.7 million in the year-ago period. Royalty and other revenues primarily comprised of royalties received from semiconductor customers whose products include our IP. GAAP gross margin was 22% in the quarter compared with 43% last quarter and 61% in the year-ago quarter. The sequential decrease in gross margin was due primarily to a $0.2 million reserve recorded in the third quarter to cost of goods sold for slow-moving Bandwidth Engine 1 inventory. During the quarter, we made significant progress in reducing production costs for our Bandwidth Engine 2 products, including wafer pricing reductions and reduced back-end test costs as we reduced test times and invested in new testing hardware. We expect to begin realizing lower cost of goods sold on Bandwidth Engine 2 products, which we will begin selling in the first quarter of 2016. In terms of our operating expense for the third quarter, total operating expenses on a GAAP basis were $10.3 million, compared with $7.3 million in the previous quarter, as we continued to invest extensively in Bandwidth Engine and LineSpeed new product development, with $3.1 million spent on new product tape outs. Total operating expenses in the year-ago period were $9.2 million. Third quarter 2015 total operating expenses included $0.8 million of amortization and intangible assets and stock-based compensation expense. Research and development expenses were $8.8 million as compared with $5.8 million in the previous quarter and $7.5 million in the third quarter of 2014. The sequential increase in research and development expense reflected $3.1 million of expenditures for the tape out of Bandwidth Engine 3 and additional LineSpeed shuttle runs. Selling, general, and administrative expenses were $1.5 million compared with $1.6 million in the previous quarter and $1.7 million in the year-ago period. On a non-GAAP basis, total operating expenses for the third quarter of 2015 were $9.5 million compared with $6.5 million in the previous quarter and $7.9 million in the year-ago period. On a GAAP basis, the net loss for the third quarter of 2015 was $10.1 million, or $0.15 per share compared with a net loss of $6.9 million or $0.11 per share, in the prior quarter and a net loss of $8.5 million or $0.17 per share, for the third quarter of 2014. On a non-GAAP basis, the net loss for the third quarter of 2015 was $9.3 million, or $0.14 per share, which excluded intangible asset amortization and stock-based compensation expenses totaling $0.8 million and compared with a non-GAAP net loss of $6.1 million or $0.09 per share in the previous quarter, and a loss of $7.2 million or $0.14 per share in the year-ago period. Net loss per share for the third quarter of 2015 on a GAAP and non-GAAP basis was computed using approximately 65.3 million weighted average shares outstanding. Total headcount was 107 employees, compared with 112 in the previous quarter. Of our total employee count more than 80% are in applications, engineering and operations, and research and development, comparable with the previous quarter. Now turning to the balance sheet, as of September 30, 2015, our cash investments balance was $25.5 million compared with $35.3 million at June 30, 2015. Our cash burn in the third quarter was approximately $9.8 million compared with $5.4 million in the second quarter of 2015. The sequential increase in our cash burn reflected the $3.1 million of additional expenses for tape outs and shuttles, a $0.5 million increased spend on inventory to support forecasted higher product shipments in the fourth quarter of 2015 and first quarter of 2016, and $0.3 million of additional expenditures for capital equipment, primarily for our back-end test loads to support reductions in product-testing costs and improve our cost of goods sold. Given the historical and hard-to-predict time lag between design wins and substantial revenue, we know that our current cash and investments balance will be insufficient to support our forecasted expense levels and negative cash flows. In addition to our basic operating expense levels, we expect to incur expenditures to purchase inventory to support our customers' growing production ramps. Also, we may incur additional tape-out expenditures in 2016 as we continue to bring a number of new products to market, such as future versions of Bandwidth Engine 3, which we believe will have significant future revenue potential. We will need additional capital to prosecute and grow our business and are currently focused on raising additional funds to satisfy the company's future cash requirements while our business becomes stronger. This concludes my prepared remarks. At this time, we would like to open the call for a question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions]. And our first question comes from the line of Gary Mobley from Benchmark. Your line is open. Please go ahead.
Gary Mobley: Hi, guys. Good afternoon. Sounds like you guys are out of the office today. Hopefully you can hear me alright. I realize the quarter was probably quite busy for everybody at the company, although it didn't really materialize in strong revenue. But related to that, I was hoping that you could confirm sort of a unit quantity that was shipped in the third quarter, whether or not it was around 5,000 or 6,000 Bandwidth Engine units, and do you have any additional visibility versus your past visibility as to the degree to which Bandwidth Engine 2 or Bandwidth Engine 1 unit shipments may increase in Q4?
Len Perham: So I'll take a shot at that, Jim, and you can add. Basically, Gary, if you take whatever our revenue was and divide it by 120 – say, divide it by 150 and then divide it by 100 that -- one of those – that somewhere in there would be the unit selling price of units last quarter and that would tell you what the volume of shipments were. Having made that statement on it I mentioned on my part of the call that, period-to-period this past year, the unit -- the number of units as well as the revenue represented by those units on the backlog has gone up at the beginning of every period. And we have some indications that it's going to continue on up into 2016. So we think we've come past the turning point. So without breaking it down into exact units, perhaps I've given you the capability of doing a quick computation for yourself. Further, I would just add to something Jim said because he’s been reminding me about this on a period-to-period basis for a while now. I think the last half of the fourth quarter, the units that will move through our back end should move to the back end at a gross margin somewhere a little bit north of 20%, 25% gross margin because we shut down the line sort of and switched it over to a new flow, in this most recently completed quarter that we're talking about today. And that is why revenue may have been a little bit depressed. But we should make up for it in the fourth quarter, I think. So as we go out of the -- today's quarters, say the last few lots, I'm going to say that we should be doing it at somewhere, like I say 20%, 25% gross margin, and then as we go through the first quarter of next year, as we go through the second half of that quarter, we should be moving to something north of 30%, maybe slightly south of 40% gross margin. More importantly, we have prayed now, so that if I should get out in March and I'm running at 35%, 36%, 37%, 38% gross margin, I'm going to know exactly where the low-hanging fruit is. So to your question earlier about, a few times about gross margin, a number of the -- we've really switched the process we now are or are in the process of ramping, in some cases expanding, buying more burn-in board sockets and so on and so forth, and we have a very good path to getting our gross margin in line. And I think I've given you the keys to figuring out what our unit shipments were. I hope I answered your question, Gary.
Gary Mobley: Sure. Sure. And extending your comment, is it still the company's long-term goal to have gross margin in the range of 60% to 65% for the BE family?
Len Perham: The answer to that question is we want to be north of 60%, and 65%, that is north of 60%. You can see now that we've prated it and that you can see where we're going to have to address things like wafer costs, piece-part costs, getting stuff, more mass produced, more units at a time out of the oven, shorten up the burn-in cycles, etc., etc. But this product family has great value. It's especially the Bandwidth Engine, a family is very unique and very important in the problems it solves. So yes, our objective is that we would have a 60% gross margin product family and that the P&L would reflect that.
Gary Mobley: Okay. The way I understand it is that your volumes are really -- your volume shipments are really going to be determined by the timing of one particular Tier-1 router OEM turning on what has been so far multiple designs for various products that they intend to ship. And I know you haven't had much visibility, demand visibility from that particular customer in the past, but has that changed at all? Do you have better visibility as to the volume production shipments of some of those designs?
Len Perham: No, I mentioned on the call it's very hard to predict two things. One is what do they forecast as the total success of a line card that we're blessed with being on? And what do they forecast revenue for that will be and will it be a blue bird? And then the second thing is how fast will it be accepted and how fast will it ramp? So we can't see that very well, but you said one thing I'd like to correct. I believe that sometime in the second quarter of next year we're going to go past a 100 design wins for Bandwidth Engine family and that is not a trivial number. And we aren't really dependent on any one customer. Jim or I mentioned that we've started to see our first wins in systems that are heavily software-defined networking capable. We're starting to get used for high-definition video streams. We have found that there are certain areas that were very, very important and we serve -- that we're very, very good at such thing as handling high-speed statistics or maintaining, in some cases, excess control lists. And in the -- when we're out there at a 100 different design wins across, say by that time, 2015, to say 25, maybe 28 customers something like that. We're going to be generating some significant revenue. And I won't try to speculate what the biggest -- what customer will be the most performance, but we won't be -- such as when we started NetLogic for a long time, 65% of the business was Cisco. It won't be like that in this case. We're much more spread across a number of customers.
Gary Mobley: Okay. Last question from me and I'll jump in the queue. Reading to Bandwidth Engine 3, I appreciate the fact that part or at least some of the three parts have been taped out, if not all, correct me if I'm wrong there. And you mentioned some packaged silicon you expect back from your foundry, presumably TSMC, in the next week or so. Based on sort of the simulation software ecosystem that you've been building the parts with, designing the parts with, what is the likelihood of the packaged silicon coming back with any sort of flaw?
Len Perham: Well, if I had Tom Riordan in here – Tom, who's a Valley icon in a few ways, if I had Tom sitting here beside me I think he would tell me that between us, mostly driven by him. We have done a higher level of verification on this product than probably anything we've ever done before. And either one of us in our prior lives, and we think that we're in pretty good shape here. We never had to do any major design to BE2 and BE1, and we're vastly more familiar with BE3 as a result of having done BE1 and BE2. So we remain optimistic that these are going to come back and after some suitable characterization and verification, we'll be able to drop them into reference boards and ship them to customers. And that we're very optimistic as well that we're going to marry up well within MPS400 because an enormous amount of work was done and on both sides of the aisle there were extremely bright people that spent an enormous amount of time making sure they handshake -- the parts handshake in a very nice way.
Gary Mobley: Okay, alright. Well, I appreciate the comments, guys, and best of luck. Thanks.
Len Perham: Thank you. Thank you, Gary.
Operator: Thank you. Our next question comes from Krishna Shankar from ROTH Capital. Your line is open. Please go ahead.
Krishna Shankar: Yes. Len and Jim, congratulations on the new design win momentum. With regards to the new customers that you have design wins this quarter, can you sort of give us a little more color on the types of customers they are, are they in telecom, networking, cloud security, can you sort of give us some sense for what types of customers they are and what the cadence for their ramps might be for BE2?
Len Perham: Well, we think that we're still doing a great deal of stuff inside of the network itself on the -- at the edges and in the core. Certainly we've had great success sitting on the edge of the data center and some of the leading-edge suppliers of security appliances. We've seen our partner that's in the data center itself starting to consider cutting and pasting that is now that he understands our part and the switchover costs have been overcome. He's looking at using it in more places. We -- I haven't looked too much at the size of the company that where we've won some orders where he’s using it for transporting, I'm going to call it data streams that’s either high-definition video. But he is certainly a significant player in that space. So I can't give you much better answer than that. I think it's fairly widely-spread from the user edge all the way through to the data center and back, but probably the most heavily utilized place is from the edge of the data center to the IP edge, something like that, Krishna.
Krishna Shankar: Okay. And then with regard to the revenue ramp, you did mention that backlog every quarter continued to increase. Would you anticipate sequential revenue growth in Q4 and -- I know that you don't really give guidance, but if you could give us some sense for what the growth characteristic might be for revenue in Q4? And then in the 2016, is it a more second-half 2016 kind of revenue ramp or do you see visibility on revenues picking up early in 2016?
Len Perham: So Jim, why don't you start off with that one? I think you live with those models more than I do.
James Sullivan: Sure. As you said, Krishna, we don't provide guidance. But that said, looking to the fourth quarter and the comments I made regarding inventory spend, etc., I would look for recognizing the absolute dollars are still small as we're just beginning the production ramps. Nonetheless, the percentage increase will be very significant. And we'd be looking to break the million dollar total in the fourth quarter and continue growing in through 2016, and we're currently working on our forecast scrubbing that, and we do get more and more data right now kind of coming in. But still the backlog kind of runs out four months or so. These contract manufacturers, in particular, I think as Len may have said on this call, our Tier-1 is using I think three or so. They don't want to give you much forecast beyond what you need to for the short run, etc. But particularly looking to the second half of '16, I think we'll see more designs turning on, in particular kind of starting in the mid -- middle of 2016 with our data center and data center security wins that we first won back in the fourth quarter of 2014. And then no, I don't think we declared them today but there's a couple more pending with one of those guys, and I think we'd look to those to really start to contribute in the second half of 2016. I'd also note with those guys that the orders -- even albeit still for prototyping on orders kind of maybe in the 100 quantity, they're coming from the contract manufacturers, which to me, is always a good sign that they're progressing and it's already offsite being built. I think with regard to another driver that we didn't see this year, we had hoped for more LineSpeed contribution that's been slower. And as Len talked about we have a number of engagements and design-ins there. But I think we'll wait till more of the second half of that of next year to really see that making a bigger contribution.
Len Perham: So Krishna, I would add to what Jim just said that we don't have to turn much business to make the fourth quarter. Now I'm not trying to put ourselves in a position so that you guys tell Jim you're looking for traditional guidance going forward, but certainly, in the fourth quarter we don't have to turn much to make the business. And I can't see at what percentage of the first quarter is already booked, and because we're small and every order can be a percentage, a measurable percentage it's too erratic to be sure yet. So I can't -- I wouldn't venture to say what percentage of the first quarter is on the backlog already, but the fact of the matter is we're evenly positioned for this quarter and barring any unforeseen surprises, it'll be up.
Krishna Shankar: Great, and so Len, you have now line of sight to revenue for LineSpeed in 2016 and can you talk about where this new Flex product family for LineSpeed fits in with what you already have in terms of design wins?
Len Perham: I'm not quite sure I understood that question. Would you ask me that again, Krishna?
Krishna Shankar: I just wanted to get some sense for revenues in LineSpeed with the existing products that you already have. And then just a few weeks ago, you introduced a new product line, I wanted to get a sense for what the new product -- the LineSpeed Flex Family is targeting versus what you've had before?
Len Perham: So basically, I'll talk a little bit, then I'm going to let Jim talk about looking out into 2016 and what might happen with the LineSpeed. The products that we announced, we've announced a number of products that go into the optical module where we think that we had retimers and gearboxes that are very, very low power, that run at speeds to support this generation of equipment, next-generation as well perhaps. And we are very excited about some of the successes we've seen in that product. And then the Flex Family is intended to serve both the line card and the back plane and I think in its -- and they have a lot of unique features as Forward Error Correction and Multi-Link Gearboxing and so on and so forth. And we are, I think we've announced a number of these products now fit optimally on the line card itself, and we have future announcements coming in that area, as well as future announcements coming where we might be looking at stuff that goes across the back plane.
Krishna Shankar: Okay. And Jim in terms of revenue contribution from LineSpeed, still a relatively small contribution in 2016 compared to Bandwidth Engine?
James Sullivan: Yes. I mean when I look out to 2016, it's certainly Bandwidth Engine versus LineSpeed. Its 80% to 90% Bandwidth Engine versus 10% to 20% for LineSpeed. Now while LineSpeed can certainly designs can turn on faster, but given that's a newer product I'd be on the more conservative side on that.
Krishna Shankar: Okay. And then my final question was you folks mentioned exploring other sort of strategic financing options. Can you give us a little more color on that? You had mentioned talking to other strategic partners, licensing strategies, can you give us a sense for what types of strategic financing options you're exploring and where they stand in terms of coming to fruition?
Len Perham: Yes, let me address that and then Jim can fill in if I miss something. So we have talked on this call or at meetings we've attended that we have spent a lot of time looking at how we might collaborate with our partners on future product development. And nothing get's worth reporting on today's call has come of that, so we hadn't said anything. Jim and I or mostly me, I guess, because I'm heading out next week, we're both looking very, very hard at other alternatives for financing and we don't have anything important to say yet which is why we chose to be cautious in our remarks today. We, as in just to summarize what I just said, to date we have not come up with anything that's worth talking about in terms of collaborating on future product development which was something that looked pretty promising but just didn't -- we just couldn't avail ourselves of it. It wasn't good for both parties. And we're looking at a number of other alternatives for financing and unfortunately don't have anything to say today. But suffice it to say and Jim said in his remarks it's -- the guys in the company who are running the operations and Jim and I are paying attention to the balance sheet, and we're focused at this very intensely and hope to have something meaningful to say in a not-too-distant future.
Krishna Shankar: Okay. Thank you.
Operator: Thank you. At this time, I'd like to turn the call back over to Len Perham for any closing remarks.
Len Perham: I only have one remark for today. I want to thank you guys for tuning in and listening to us. Many of you have heard me say along the way on this journey with MoSys that we're a publicly-traded venture capital start-up. I'd like to tell you that when I started the journey I didn't expect it would be typical of all the other journeys I've made where it would take longer and cost more, but it has, and it is. And I'd just like to say that I was upside today because the operational progress is good. I made a comment that maybe before the end of the first half of next year we might see as many as 100 plus a few, minus a few, BE design wins. That's not trivial, and that's the basis of growing a really healthy and prosperous company. As I say, it's taken longer and its cost a bit more and I can't say anything other than that's the reality of it. But the company's operationally in a strong place and we're enthusiastic about getting the company to where it's generating shareholder value on a quarter-to-quarter basis. I appreciate you for calling in and listening to us today, and Jim and I look forward to talking to each of you or all of you in the very, very near future. Thank you very, very much.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude the conference call. You may now disconnect. Everyone have a good day.